Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Silicon Motion Technology Corp's Q4 2020 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  This conference call contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements include without limitation, statements regarding trends in the semiconductor industry and our further results of operations, financial condition and business prospects.
Chris Chaney: Thank you, Ajay. Good morning, everyone, and welcome to Silicon Motion's fourth quarter 2020 financial results conference call and webcast. As Ajay just mentioned, my name is Chris Chaney, Director of Investor Relations. And joining me today on this call are Wallace Kou, our President and CEO, and Riyadh Lai, our Chief Financial Officer. Following my comments, Wallace will provide a review of our key business developments and then Riyadh will discuss our fourth quarter results and our outlook. We will then conclude with a question-and-answer period. Before we get started, I'd like to remind you of our Safe Harbor Policy, which was read at the beginning of this call. For a comprehensive overview of the risks involved in investing in our securities, please refer to our filings with the U.S. Securities and Exchange Commission. For more details on our financial results, please refer to our press release, which was filed on our Form 6-K after the close of market yesterday. This webcast will be available for replay in the Investor Relations section of our website for a limited time. To enhance investors' understanding of our ongoing economic performance, we will discuss non-GAAP information during this call. We'll use non-GAAP financial measures internally to evaluate and manage our operations. We have therefore chosen to provide this information to enable you to perform comparisons of our operating results in a manner similar to how we analyze our own operating results.
Wallace Kou: Thank you, Chris. Hello, everyone, and thank you for joining us today. In the fourth quarter, we delivered $124 million in sales, about 4% more than the high end of our guidance range. Compared to the third quarter, revenue was up 14% sequentially. Earnings per ADS for the fourth quarter were $0.86, up from $0.76 in the third quarter. For the full year, revenue was $540 million, up 20% when compared to last year. Earnings per ADS was $3.24, up 25% from a year ago. Our fourth quarter results were strongly impacted, the consumer procurement continued to be robust. Sales of our eMMC+UFS controllers for smartphones and IOT devices were especially strong, and our SSD controller continue to benefit from strong PC demand. Sales of our SSD solution were however seasonally soft. Based on purchase orders we see from our customers we are expecting the strength of our fourth quarter to strengthen further through the first quarter and stay robust through the rest of the 2021. Purchase order we see for the first quarter already exceed our first quarter sales guidance, and purchase order for the full year already meaningfully exceed our full year guidance. Our ability to meet customer order is however limited by our product supply. Our first quarter sales are limited by a variability of product in inventory, and our full year sales growth is limited by the current foundry supply shortage, that is also affecting much of the overall semiconductor industry today. Demand of our SSD and eMMC+UFS controller remained very strong. We continue to see robust sales of PC driven especially as a need of working from home and online learning. Additionally, OEM adoption of SSD in PC and other devices continue to grow as more low cost NAND for SSD for replace - the replacement of HDD. And furthermore, we expand our SSD controller market share gain to accelerate based on our pipeline of design wins. Those with NAND flash makers and module makers for the OEM market, we're expecting stronger SSD controller sales growth this year compared to last year. We continue to see OEM smartphone build activity improve, more meaningfully, the transition from the legacy eMMC mobile in value storage to newer UFS technology continue to increase gradually, as OEM payer UFS for new generation application processes and higher spec cameras.
Riyadh Lai: Thank you, Wallace and hello everyone. I will discuss additional details of our fourth quarter results and then provide our guidance. My comments today will focus primarily on our non-GAAP results less FCI unless otherwise specifically noted. A reconsideration of our GAAP to non-GAAP data is included with the earnings release issued yesterday. In the fourth quarter, revenue was $144 million 14% higher sequentially and 6% lower year-over-year. For the full year revenue of $540 million was 20% higher than a year ago. In the fourth quarter earnings per ADS were $0.86, 12% higher sequentially, and 11% lower year-over-year. For the full year earnings per ADS were $3.24 or 25% higher than a year ago.
Operator: Certainly.  We have the first question from the line of Karl Ackerman from Cowen. Please go ahead.
Karl Ackerman: Good evening gentlemen and good morning on the West Coast. First question from me, I appreciate the full year outlook you provided and in your prepared remarks, Wallace spoke about how competitors are facing challenges with supply, enabling you to bring some new customers on your platform. And he also spoke about how some NAND OEMs are easing on their willingness to move to internal solutions. So, my question is, are these volumes ad hoc and opportunistic or what sort of volume commitments are you able to secure that would help support both your full year guide and due through 2023?
Wallace Kou: So, as we stated, our current committed wafer supply for our foundry makers, we can fulfill our full year guidance plan in 2020 to 30%. There's no question. If we have additional incremental wafer allocation from our foundry makers, our guidance will be higher.
Karl Ackerman: Okay, I appreciate that. I guess then, relative to your SSD solution business, could you discuss how the shift in the consignment model will impact at least qualitatively your revenue and profitability in 2021 versus 2020? I guess is the widened operating loss expectation coming only from enterprise SSD? That's my question. Thank you.
Riyadh Lai: Yes. That's related to the operating loss and the consignment that relates specifically to our Shannon data center SSD product line. So, as we talked about during the call, our Shannon product line had under delivered in terms of revenue growth, profitability and cash flow generation. And so, as part of our regular testing of our acquisition, the valuation of our acquisition, we had determined that the assets were impaired and so took a full write-down over the remaining goodwill. So, in terms of the profitability of our business, our gross margins have been below our corporate average by significant amount because of the products that we're building, requiring the purchase of NAND. So as part of that, that was this issue. Last year we started for one specific customer for Alibaba, moving to a consignment business model where Alibaba procures NAND and we build the SSDs based on what the other NAND they give us. So, our margins - our gross margins are significantly improved because of this. But we also have a lot of other customers. Most of - the majority of our sales for our Shannon products are in fact, standard NVMe SSDs to non-Ali customers. And for these customers, we're buying NAND and so our gross margins are a lot lower.
Karl Ackerman: Thank you.
Operator: Thank you. We have our next question coming from the line of Rajvindra Gill from Needham & Company. Please go ahead.
Rajvindra Gill: Thank you, and congratulations on the momentum, very impressive. Wallace and Riyadh, you're putting up this $1 billion sales target, which is very ambitious. I just wanted to get a sense in terms of how to think about the cadence of that. If you look at your full year guidance, in 2021 the $675 million at the midpoint, I believe that's the highest in recent history for your company in terms of overall revenue, correct me if I'm wrong there. But it's extremely high and that could be higher if you get more wafer allocation. So, once you get a sense from working on that base to get to $1 billion, that's about 50% growth. How do we think about the cadence on a kind of year-over-year basis? And is this really being driven by the combination of kind of higher cash rates that you're seeing in other adjacent markets outside of PCs? Is it being driven by consistent, sustainable market share gains? I'm just curious in terms of some of the color there.
Wallace Kou: I think you guys are very good questions. We're definitely prepare to answer the questions. We have a very strong confidence to achieve our financial objectives $1 billion within three years, through our major design pipeline from client SSD controller as well as mobile eMMC+UFS controller. I think we start to really cook the design win pipeline since two years ago. And we're really gaining momentum in market share, focus on technology for new product development, moving to 16, 12-nanometer. Mobile, we're going to move to 7-nanometre three year from now. But I think a lot of R&D investment, that's why you see our increased R&D expense in the last two years yea-by-year. I think from the current design pipeline, from backlog in our hand, PO in our hand, our sales there is no restriction constraints for wafer supply will be much higher than our current full year guidance 20% to 30%. That's why it gave us significant confidence and we can continue to carry the momentum found this year to next year. Yes, that's why we start to work with TSMC right now for 2022 wafer supply, for all the different technology know from 35, 40 nanometer to 28, 16, 12 nanometer, and make sure we can get sufficient supply to meet our major OEM customer requirements for 2022. So of course, I think TSMC, we have a long-term relation with TSMC, and we have a significant good support from them in the past 10 years, then we probably can get a more allocation is second half of this year, there's no commitment right now. So, we can only base on they've come midway for supply to make a full year guidance to the investor. But for the three years, for $1 billion target, we have a much better confidence to achieve the goal maybe will be earlier.
Rajvindra Gill: Thank you for that. That's excellent news. And Riyadh, I know it might be hard to quantify, but if you could give us some sense, if you get more wafer allocation from TSMC which you have a great relationship with to begin with. Any way to think about what the potential upside would be on that 675 target?
Riyadh Lai: Hi Rajvi, that's another excellent question. The way to think about this is our operating infrastructure has the ability to have considerable operating leverage. The operating expense infrastructure that we have built, our R&D teams, our sales and marketing teams, the rest of our operating infrastructure, it's an infrastructure that we can load a lot more revenue on. And so, for what we have today, and if we're able to achieve much higher levels of revenue this year, in the event, we're able to secure additional wafer, there's no beyond what we have guided. If we're able to secure additional wafer, this would just flow through our P&L and deliver the incremental profitability on our bottom-line.
Rajvindra Gill: Thank you.
Operator: Thank you. Can we move to the next question, sir? The next question comes from the line of Craig from B. Riley Securities. Please go ahead.
Unidentified Analyst: Hi, guys. This is  for Craig. Congrats. And I just wanted to drill down on something that Wallace said in the last question. Wallace when you said the 20% to 30%, is that the amount of supply constraint that you're currently seeing right now? So, in theory, if there were no supply constraints, the guidance would have been 20% to 30% higher did I understand that right?
Wallace Kou: No. I'm saying is we've guided 20% to 30% growth 2020 based on current comparable wafer committed, but we can grow much higher and guide much higher if we can get an incremental with allocation for our foundry supplier.
Unidentified Analyst: Got it. Okay. Sorry about the miscommunication. So, my second question is on the new you mentioned that a bunch of smaller suppliers, or a bunch of customers have kind of come your way due to the supply constraints. What are you guys doing and how confident are you that you can hold on to these new customers as they come towards you given that you're already supply constraints?
Wallace Kou: Most of these new demands are really another major customer. As you know, some of our customers, maybe 80% use our controller, 20% use others controller maker in order to park in the pie with in the past 10 years. But now because wafers shortage globally, so many small player - controller player, they even probably cannot get even worse wafer supply through the demand. That's why a lot of our customer before is maybe 80% come to us now give us a 90%, 95% order to us. But that is now our really main goal, I think found existing or in our estimation for our business is stronger than 30% growth year-over-year, but with additional demand, it just makes our allocation even worse than what we can offer to the customers.
Unidentified Analyst: Got it. Okay. And then one last quick one for me. Obviously, I understand what's going on with gross margin, given the higher kind of inputs this year and not wanting to provide any insight about price increases at this point. But as I look out to fiscal '22, and you mentioned the 50% gross margin target. With Shannon, now kind of a much smaller percentage of sales expected moving forward, would it be fair to say that gross margin in the calendar '22 can get back to the 50% maybe quicker than expected beyond all - assuming that all of the things that are impacting gross margin this year come out of the model? It just seems to me that - and then ultimately, why isn't that number - why couldn't that number be higher we saw 50.1% in calendar '19? Just trying to get the sense of upside gross margin, from the 48% guided to in calendar '21?
Wallace Kou: I think you are correct. Theoretically, we definitely show improve our gross margin in 2022. I think this is all the goal we looking for. However, I think we will all have some major program with this contract price is all depend on our foundry provider, whether they will continue some regular wafer discount annually. Because of a severe shortage, they're not going to reduce the wafer price. Instead, they increase the wafer price. So, we have to prepare all the different scenario to play conservative model as seen, that's our obligation to the shareholder to make sure we give you conservative guidance, then we can have a better result than expectation.
Unidentified Analyst: Got it. Okay. Thanks, guys.
Operator: Thank you. We have the next question from the line of Gokul Hariharan from JP Morgan. Please go ahead.
Gokul Hariharan: Yeah. Hi, thanks for taking my question and congrats on the great results. So just wanted to understand, when we think about our $1 billion revenue target, do you think that the product mix is going to be reasonably similar to what we have right now? I think right now we have probably about 55% to 60% and the controller is roughly about I think 25% mobile or 30% mobile and about 10% to 15% SSD solutions. Is the mix going to be fairly similar when we get there? So, we'll talk a little bit about how we think about that and then I had a follow up question.
Wallace Kou: I think roughly the mix will be maintained the same. As I said in our statement, we don't count the new customer, our customer we don't have today. We based on existing NAND maker and module maker customer we are able to achieve the $1 billion target within three years. So, we have enough design pipeline from PCIe Gen 3, to PCIe Gen 4 from eMMC to UFS 2.0-3.1. We don't even count enterprise controllers. We don't count on even UFS 4.0. We think we can achieve $1 billion target within three years.
Riyadh Lai: Gokul, let me also add well, when we achieve $1 billion sales, the product mix should be quite similar to what it is today. But I would also add that our mobile controllers are eMMC+UFS, we're expecting to grow a little bit faster than our SSD controllers over the next few years.
Gokul Hariharan: Got it. Just related question, what gives you the visibility and pardon me for asking but revenues have essentially been in the $500 million to $550 million range for probably three to four years, right. So, just wanted to understand what gives us the visibility given the business needs are expertly for the mobile side and to some extent for the module makers also in consumer have been fairly volatile. So, what is the confidence interval on this and what gives you that visibility suddenly to change that? Second, when we have foundry shortages like this in the past in let's say 2017 or 2014, we clearly had a lot of kind of concerns about inflated orders from customers especially like PC module customers, eMMC customers et cetera. How do you discount for that factor when you think about your forecasts and your  appeals from customer?
Wallace Kou: Okay, let me just give you answer first for first question. The reason we have high confidence to achieve the $1 billion target by 2023, it's based on current booking backlog PO in our hands for 2021. As we said already, we based on a variable wafer, coming wafer supply we are 100% confidence to reach 20% to 30% growth from 2020. But, our backlog and the PO in hand are much bigger than this number. So, this going to continue through 2022 and because that is a major design pipeline very hard to customer major customer to change the design and we also continue well with TSMC, hopefully that can provide more wafer. But as you know very well, it's very difficult at this moment. And so, to answer you second question, yes, we suffer one of a major NAND maker for eMMC business from the peak of 2016. And it started to use general controller then we suffer the sales revenue decline, down to very, very small last year, and that factor will be counted. For UFS 2.0, 3.0, I think is going to stay for next three years. UFS 4.0 will start to picking up from 2024. So, we have very high confidence, our business model and growing our eMMC customer are very, very strong. We are dominating eMMC provider all size of NAND makers. So, we probably own 8% of the market share if you don't count on NAND maker customer. That's why we are confident to grow mobile controller business as well as client SSD which are very strong today. And that gives us the confidence to show how we can reach to align for $1 billion sales target.
Gokul Hariharan: Got it. Could you also tell us like, I think are you taking some discount or something for the PO that it gets from your module maker customers or OEM even at times like this, when we hear about shortage across the board, clearly there is some degree of inflated order books that is usual? So, can you talk a little bit about, how you think about the PO and the book order book and how you think about the health of that order book?
Wallace Kou: I think some module maker PO, that's a very small portion for as a contribution for revenue. So major visibility are OEM, because they also worry they cannot get supply, that's why they gave us visibility much better, because normally they only gave us three months PO and the six months forecast, now they gave the full year PO, that's why we can see through the 2021 demand for our major OEM customer.
Gokul Hariharan: Got it. Thank you.
Operator: Thank you. We have the next question from the line of Anthony J. Stoss. Please go ahead.
Anthony Stoss: Hi guys. Going through 10 years of covering Silicon Motion, I have never seen this kind of visibility from you guys and excitement. Maybe you can talk about, if you scrub the pipeline for 2021, if you think there's a chance that there's double ordering in that pipeline or just mainly market share strength from you guys? And then also, you're not including the enterprise controller in the 2023 revenue goal. I am serious, maybe you can give us more detail, is that behind plan, or anymore color would be helpful? And then lastly maybe for Riyadh, if Shannon continues to underperform, why not just walk away from Shannon? Why are we still keeping it operational? Thanks.
Wallace Kou: So, let me comment on your first question. I think last year, we have so many major design focused OEMs, not just on NAND maker but also for module maker. And they all start to ramp up in 2021. That's why, we see we gain market share for global client SSD controllers. And we expect to ship much more for this year. However, due to the wafers shortage from the foundry makers, we can only provide such a guidance, but we originally expect to have even much stronger momentum and we can get a full supply from our TSMC major partner. This is dependent on how we see the migration from the technology know, from SATA to PCIe Gen 3, from PCIe Gen 3 to PCIe Gen 4, I think we will continue the momentum pipeline for clients SSD. Regarding the mobile controller from eMMC and UFS and we - as I stated, we have more than 80% of global design outside the NAND makers. And a lot of these module makers has been prepared practiced in the past five to six years. Now finally, they have entered design to smartphone, in low value line smartphone and from Chromebook and to set-up box and smart TV. They are gaining market share. And please understand, this module maker mobile controller revenue together are close to the NAND maker sales revenue. So, it's not like a very big gap between module maker and NAND maker. So, we see the transition is very, very strong. And some module markers are eMMC customers also turning into UFS, they give us a much broader angle looking for the pipeline, not just 2021 also beyond this year to 2022 and 2023. We also have several major programs, which we cannot comment right now. And when these become materialized, we will talk to our investors.
Riyadh Lai: Tony, let me also address your third question about Shannon. Shannon clearly has been the disappointment to us. But we're - it's also a strategically important piece of business to us. And so, we're actively working to restore this product line's growth and profitability. What I mean by strategic important is because without Shannon, we will not be able to sell SSD controllers, enterprise grade SSD controllers directly to Chinese hyperscalers, as they do not have the engineering capabilities to develop their own SSDs using merchant controllers. So Shannon designs, these SSDs using our controllers and therefore, helps facilitate our sell into this market, and also provide street credibility to our enterprise grade controllers. We're new to the enterprise SSD controller market. And so, it's important to develop street credibility in Shannon. So our experience exposure at Shannon was the Chinese hyperscalers we're also gaining a lot of street credibility. So, it's important for us to - strategic important to us we're working to fix the financial profiles of Shannon. But eventually, if we cannot fix this and we may have to consider strategic options.
Wallace Kou: Let me add a comment to Riyadh. I think, we underestimate the complexity for enterprise controller and enterprise SSD business. Our competitors and NAND maker, they spent 20 years' experience in the front end, then they are leading in the technology and product. We are just about four to five years. And we only focus on enterprise controller just about two years. So, we learn so much from Shannon customer, especially for Alibaba, Baidu and  and several leading hyperscalers. So, we understand the complexity almost five time in client SSD. So, we are improving pleasantly. We are filling the gap. We are gaining confidence and continue improving our firmware and our AC architecture. That's why we're so excited about enterprise to PCIe Gen 5 controller, which we will take out in early next year and stumbling in second half of 2022. We believe this will bring us a big momentum and coming to enterprise as you know well, client SSD in the next three to five years will be slowing down and saturated after five years from now. So, we are preparing for another momentum to grow for enterprise controller. It's very important for company maintain the growth momentum continually and to the shareholder.
Anthony Stoss: Thank you for that Wallace. But if I'm not mistaken, did you say that you're not including any revenue from the enterprise controller in your $1 billion 2023 forecasts? Is that just to play conservative given what you just said roughly about the ?
Wallace Kou: Exactly. That's correct.
Anthony Stoss: All right. Awesome. Great job guys. Congrats.
Operator: Thank you. We have our next question from the line of Mehdi Hosseini from SIG. Please go ahead.
Mehdi Hosseini: Yes. This is Mehdi Hosseini from SIG. Just two follow up. Riyadh, did you say that any wafer price increase is already dialed into your gross margin guide for 2021?
Riyadh Lai: Mehdi, we're not expecting that wafer costs increase this year. We are however, expecting costs from substrates and packaging. And that's reflected in the gross margin guidance that we have provided.
Mehdi Hosseini: Okay, clear. Just curious if there is incremental capacity becoming available, but at a higher cost would you be able to offset that?
Wallace Kou: Depends upon the line for very important mobile product line high end without any need to because our customers desperately need more supply.
Mehdi Hosseini: Okay. Got it. And then I joined the call a little bit late, so I apologize if the question has already been asked. But when you think about mobile opportunities, UFS and comparing it to SSD controller for 2021, which segment do you expect to offer higher growth?
Wallace Kou: I think, Riyadh had already mentioned, for total dollar amount client SSD is still bigger, therefore the gross rate mobile controller will be a little higher and faster because the base is smaller. And because I think for mobile major is only three NAND maker has a mobile DRAM. So, it's very easy to figure out that's why the momentum will grow stronger and we have design in the three major NAND maker with mobile DRAM.
Mehdi Hosseini: Great, thank you. And then would you expect your mobile mix especially from China, or contribution from China to increase as demand capacity comes online, and then capacity from domestic players?
Wallace Kou: When the China NAND makers increase the output, we definitely will benefit from this output. Because a lot of our module customers will also use the NAND from the China NAND makers. But I'm not sure how much they're going back to the mobile business because they're probably were being valuable like eMMC, but now in the high-end eMMC are .
Mehdi Hosseini: Got it. Okay, thank you.
Operator: Thank you. As there are no further questions, I would like to hand the call back to our presenters for any closing remarks.
Wallace Kou: Thank you, everyone for joining us today and for your continuing interest in Silicon Motion. I would like to leave you with some final thoughts. Our business continues to be quite resilient. In spite of volatility to our business caused by the pandemic, we continue to achieve well. I have never been more confident of our business. We look forward to a safer world free of devastation caused by the Coronavirus. We also look forward to sharing with you the expected rapid growth of our business this year and our progress towards 2023 $1 billion revenue target. We will be attending several virtual investor conferences in the next few months. The schedule which will be posted on our Investor Relations website. Thank you for your continued interest and for listening to our call. Goodbye for now.
Operator: Thank you. Ladies and gentlemen, that does conclude conference for today. Thank you for participating. And you may all disconnect now. Thank you.